Operator: Good day and thank you for standing by. Welcome to the Polestar Q1 2025 results conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during the session, you will need to press star-one-one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star-one-one again. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Polestar.
Anna Gavrilova: Thank you Operator. Hello everyone. I’m Anna Gavrilova, Head of Investor Relations for Polestar. Thank you for joining this call covering the first quarter 2025 select financial results for Polestar. I am joined by Michael Lohscheller, CEO, and Jean-François Mady, CFO, who will give the operational and financial update, and then we will open the floor to analyst questions. Before we start, I would like to remind participants that many of our comments today will be considered forward-looking statements under the U.S. federal securities laws and are subject to numerous risks and uncertainties that may cause Polestar’s actual results to differ materially from what has been communicated. These forward-looking statements include but are not limited to statements regarding the future financial performance of the company, production and delivery volumes, financial and operating results, near term outlook and medium term targets, fundraising and funding requirements, macroeconomic and industry trend, company initiatives and other future events. Forward-looking statements made today are effective only as of today, and Polestar undertakes no obligation to update any of its forward-looking statements. For a discussion of some of the factors that could cause our actual results to differ, please review the risk factors contained in our SEC filings. In addition, management may make references to non-GAAP financial measures during the call. A discussion of why we use non-GAAP financial measures and a reconciliation to the most directly comparable GAAP measure can be found in the appendix to the press release and in the Form 6-K published today. I will now hand over to Michael.
Michael Lohscheller: Thank you Anna and to everyone for joining us today. In January, we announced our plan for Polestar with ambitious growth targets and clear milestones. The first important milestone for us as a new leadership team is our Q1 volumes and financial results, and I’m pleased to say our Polestar plan is off to a strong start. We are delivering, both from a commercial and financial point of view, after reporting 76% increases in retail sales for the first quarter compared to last year. We are also improving our financial performance with revenue growth of 84% driven by sales of Polestar 3 and 4, significant margin improvement with a 15% point swing to a positive gross margin of 7%, significant fixed cost reductions, net loss and adjusted EBITDA improvement.  Polestar is in execution mode. We are making significant changes to our commercial operations, leveraging our growing model line-up and increasing efficiencies across all areas of the business. This is what we are doing and what we remain focused on. Consistency in our actions and conviction in our decision-making over the last few months has created strong momentum, and we are making good progress. Firstly, let me talk about our commercial transformation. During the last few months, I have had the opportunity to meet with customers and retailers across all markets. What I’ve seen has really impressed me and reaffirmed the importance of our focus on commercial transformation, making it easier for more people to experience our cars because when they do, they get excited. That’s why we are signing up new dealers across all markets. Our ambition is to grow our sales points by 75% until 2026, and in the first quarter of this year compared to Q1 last year, we grew these by 33% excluding China. The renaissance of the dealer is how I have referred to this over the last few months, and for me, this is the most important step on our journey. Some people prefer to buy online, configuring their cars on our website and going through the purchasing process from home. We will continue to serve these customers, but for a large part of the market, buying a car is different from any other purchase you make. Being able to visit the dealership, have technology and features explained and financing solutions described is more conducive to increasing sales. It also has the added benefit of enabling pre-owned sales. Along with our more active sales model and commercial agreements with dealers that allow them more freedom in how they sell Polestars, this is the foundation of our growth. Secondly, maximizing the value of our existing model line-up, we recently launched the updated model year ’26 Polestar 2. The car that we have built our expansion on to date gets a number of new technologies and features, including a Qualcomm Snapdragon processor chip and a Bowers & Wilkins sound system with 1350 watts of power. Like all our cars, Polestar 2 continues to benefit from over the air updates, making this car even better over time. In support of our pre-owned business, we are now also providing battery state of health certificates, creating greater peace of mind for our customers. Polestar 3 continues to set new standards in the SUV segment, achieving a five-star Euro NCAP rating. It also achieved a score of 93% of child occupant protection, the highest score of any passenger car tested by Euro NCAP over the past nine years. Sales of Polestar 4 continued to increase across our major markets, and its popularity is reinforced by winning several awards, including Car of the Year in South Korea. Manufacturing of our SUV coupes in Busan, South Korea is expected to start during the second half of the year with preparations and prototype production going well. This is the latest step in developing our asset-lite model, which already includes sites in China and the U.S. with plans for European production for Polestar 7 in the future. This flexibility and ability to manufacture cars as close to our customers as possible will become more and more important as geopolitical uncertainty increases. Polestar 5, our four-door grand tourer developed by our own engineering team and based on a bonded aluminum platform is expected to start sales later this year. This car will set a new standard for its segment and reaffirming Polestar’s position as a performance car company. Thirdly, we will continue to reduce our cost base and generate efficiencies, adapting our ways of working and structures as needed. This will make us more resilient as uncertainties around the world continue to increase. For example, as future Polestar cars will be based on group architectures, we are taking steps to realize efficiencies in our R&D organization. Adjusting our structures and reducing our cost base was very much part of our focus when we presented our updated business plan in January, and these steps are becoming even more important given the current uncertainty surrounding international tariffs and government regulations. As a result of this uncertainty, we announced that we are pausing our financial guidance for 2025. We reaffirm our growth target of 30% to 35% per annum between 2025 and 2027, a clear reflection of our ambitions and underlying continued growth in the EV sector. Polestar is the only global premium EV brand with a clear focus on design, sustainability and performance. Our cars are winning more and more comparison tests against premium competitors, showing that we are here to compete with a growing network of experienced dealers and of course with really passionate and progressive colleagues throughout the world. I want to thank everybody for all their efforts. We are taking steps to give our strong brand and our incredible cars the spotlight and recognition they deserve, and we are just getting started. We want to grow more. We are doing the right things. With that, I’ll end my opening remarks and hand over to Jean-François.
Jean-François Mady: Thank you Michael. Good morning and good afternoon everyone. Before I dive into Q1 2125 select financial results we published today, I will say a few words on the 2024 full year performance. We filed the annual report on Form 20-F on May 9, which I hope you have had a chance to look at. Michael and I joined Polestar in our respective positions in October 2024. Our first priority was to review with group management the company performance and strategy and then to come up with a realistic but ambitious business plan for the next phase of Polestar’s future growth, which was shared in January. We are now in a new phase. Previously, the focus was on launching Polestar and building the brand, and our priorities now, and to reiterate what Michael laid out: first, driving significant changes to our commercial operations as the foundation of our growth; second, leveraging our growing model line-up; and third, increasing efficiencies across all areas of the business to improve profitability; and finally, one last strand of our strategy invisible to external audiences but very important, improving our processes. I wanted to touch briefly on profitability and processes to add to what Michael said earlier. On profitability, after a few months now with Polestar, we clearly see significant opportunities to deliver revenue growth and, importantly, also improve the financial performance of Polestar. We are streamlining our operation and enhancing operating efficiencies to reduce credit costs and expenses. Moreover, we are instituting working capital and cash management discipline. We do so mainly by optimizing inventory levels and looking for capital expenditure efficiencies. At the same time, we leverage synergistic partnerships. We are fortunate to have GG Group and Volvo Cars as our long-term partners. Their deep automotive expertise, technology and network of production sites are invaluable to Polestar and its asset-lite model. We will look to optimize these partnerships and seek further synergies in every domain. Finally on processes, we are changing the way we operate at Polestar with a culture defined by a focus on performance and results, ownership and accountability. We are implementing new and enhancing existing processes, standards and rules across all functions. We have been making progress since Michael and I came on board, but Polestar is not yet where we would like it to be. There is still some work to do, but we’re on the right track and doing the right things. I will now go briefly through the income statement to highlight key points of the 2024 performance. We pre-announced in January that retail sales volumes declined by 15%; consequently, revenue decreased by 14% in a challenging environment. Within the cost of sales, we incurred significant impairments related to tangible and intangible assets of US $622 million, impacting the gross loss. It’s reflected our expectation on future volume and pricing. On a positive note, we saw a reduction in selling, general and administrative expenses due to lower advertising activity and cost discipline and a lower research and development cost due to higher capitalization levels and a change in intellectual property cost treatment since December 2023. These savings were not sufficient, however, to compensate for the effects described earlier, and consequently we reported a higher net loss at $2 billion. Adjusted EBITDA, which excludes impairments and unusual items, only declined by 6% to $1 billion loss versus the comparable period. The cash position at the end of the year was $739 million and since then, we have secured or renewed over $900 million worth of facilities. The 20-F has been published and you are now welcome to reach out to us with any questions. Now I would like to move onto the discussion of the key points of Q1 2025 performance. As we announced in April, we reported growth in retail volume of 76% year-on-year and a stable performance versus the fourth quarter 2024 in what is a challenging environment for the automotive industry globally. Our revenue grew most strongly by 84%, supported by a favorable benefit from a larger portfolio of cars with higher priced Polestar 3 and Polestar 4 models that we now offer to customers. The good news is improvements in gross margin to a positive 7%. This is an encouraging achievement. The improvement of 15 percentage points was driven predominantly by a positive mix as we sold more of the higher margin models compared to Q1 2024 when mostly we sold Polestar 2s. This was partially offset by more competitive pricing. Continuing cost reduction measures are starting to bear fruit. Selling, general and administrative expenses benefited from both workforce reductions made in 2024 and continuing optimized marketing spend. R&D costs also declined due to higher capitalization levels. Net loss and adjusted EBITDA results have subsequently improved as higher revenue and gross profit and lower fixed costs flow through to the bottom line. Net loss of $190 million decreased by $86 million or 31%. Gross profit improvement, fixed cost savings, and a positive foreign exchange impact within net finance expenses were partially offset by our share of losses in the joint venture with Hubei Xingji Meizu Group Company Limited and lower positive fair value change of earn-out rights. Adjusted EBITDA loss of $115 million decreased by $97 million or 46% as gross profit improvements, cost savings from headcount reductions, optimized market expense and positive FX impact contributed to a better result. We finished the first quarter with $732 million of cash, nearly at the same level as at the end of 2024. In terms of funding, in February we secured up to $450 million in term facilities and renewed green trade finance facilities with a syndicate of global banks for €480 million for working capital requirements. Finally, a few words on the current quarter. You will appreciate the environment is challenging and volatile due to known and yet unknown potential geopolitical developments. We are yet to see the impacts from confirmed tariffs on prices for cars globally and consumer demand. Also, we will focus on what we can control, namely first transform our commercial operations to lay the foundation for our future growth; second, leverage our model line-up, continue executing cost cutting measures and preserving cash; and finally, fix processes. Notwithstanding the challenging environment, we are on the right track. Now I will hand back to Michael.
Michael Lohscheller: Thank you Jean-François for running through the financials. Operator, we are ready now to start the Q&A session. We look forward to taking your questions.
Operator: Thank you. [Operator instructions] Our first question comes from the line of John Babcock from Bank of America. Please go ahead, your line is open.
John Babcock: Hey, good morning, and thanks for taking my questions. I guess first of all, you didn’t really touch on this too much, but could you talk about the impact of the tariffs that the U.S. is considering and ultimately how you’re adjusting the impact on demand, recognizing it may be early, but any color you could provide on that would be useful.
Michael Lohscheller: Sure, thanks for your question, John. Happy to do that. First, I think we obviously see that Q1, lots of things going in the right direction. We have around 75% of our total business in Europe. The U.S. business is around 11% for us, and I think it’s fair to say that we are relatively well positioned in the U.S. because 100% of our volume is localized in the Volvo plant in Charleston, South Carolina. But of course, tariffs do then have an impact in term of the different parts, right, and therefore we monitor this closely. It’s also changing quite a bit--I’m sure you guys all saw the changes in terms of tariffs paused for 90 days between China and the U.S., so I think localization is good. We are well positioned there with a product, which gets a lot of momentum, but obviously we have to work through the different cost element on the pricing, and it will accelerate our need to bring costs down overall. But we had good momentum also in the U.S. - we grew, I think by 74% on the retail side, so the U.S. is an important growth market for us, but obviously now it’s about making sure that we have optimized costs and worked through the different tariffs which are out there.
John Babcock: At this juncture, does it make sense to revisit the supplier base and/or maybe find localized suppliers in the U.S. market to compete there, or does it perhaps make more sense to adjust the sales footprint and focus more on other markets, like say Europe or other areas of Asia, etc.?
Michael Lohscheller: Yes, as I’ve said, if you have 75% of your volume in Europe and see strong growth, I think we did exceptionally well in the U.K., then of course the focus of our work is on Europe. As you know, we’re going into markets like France, also more European markets to come because what we see is what we do has an immediate impact. Our brand is well established, we have now new cars which are being well received, so Europe is working well, but of course the U.S. is a very interesting growth market for us. With 75% growth, it’s important, but obviously we will make sure that we stay very competitive from a cost point of view, and with more certainty coming, I think we will also have better view than on the mid and long term view of the U.S. business, but it’s an important market for us.
John Babcock: Got you, thank you. Then next question, you did talk about the new commercial strategy and particularly using dealers. If you could just talk a bit more about how that transition is going, how far along are you, where do you expect to get to by the end of the year.
Michael Lohscheller: Yes, happy to do that, John, and it’s, I think, a key point because Polestar in the past had direct distribution, which works for several people; but I’m a big believer that the dealer model is much, much better because customers want to go to the dealers, want to know where the service is, want to know what’s happening, also all the explanations. I think it goes extremely well, and that also explains why, I think, our first quarter was so good. But it’s also fair to say a transition from a direct distribution model to a dealership model takes more time, and we are in the middle of this. It requires more locations, it requires more sales people from our retail partners, it also requires more digital process, so I think we’re in the middle of this and we will continue to grow the retail partners quite a bit during this year but also next year, so we have started and more to come.
John Babcock: Good, thank you. Then just a last question, I know you talked a fair bit also about driving efficiencies through the business. I was wondering if you might provide maybe some examples of where you see opportunities to improve efficiency, and especially as you go through ’25, what are the areas you’re going to focus on there?
Michael Lohscheller: Yes, maybe I’ll start and then hand it over to Jean-François. First of all, efficiency on the cost side, while we now ramp up some of our cars really nicely, I mean the Polestar 4, I think it’s fair to say it’s now a big success, and of course then with the right level of volume, you can optimize this, you can bring much more efficiencies into the different product line-ups, and then also on the cost side, there is more to do, but maybe Jean-François, you can give a few examples here.
Jean-François Mady: Thanks Michael. On the cost side, as you know, we are still an immature organization, so we have to work around the organizations. When we are speaking about organization, we are speaking of headcount efficiencies, right-sizing. As we mentioned during the last call, we have decreased our head count by 25% from 2023 to the end of 2024, so we don’t want to stop here. We are going to continue and to look at for more efficiencies on this matter. I would like also to speak briefly about cash optimization and to look for more efficiencies on this side, because we have also to improve. We finished the year end 2024 with a quite high level of new vehicle inventory that impacted, I would say, our cash flow and our working capital, and we have definitely to improve, I would say, the way we are managing our cash flow, and that will be reflected in our working capital improvements, and to mention to you that versus [indiscernible], where we had the high level of stock at the end of 2024, we are improving a lot on this aspect at the end of Q1.
John Babcock: Thank you.
Operator: Thank you. Once again, to ask a question, you will need to press star-one-one on your telephone and wait for your name to be announced. To withdraw your question, please press star-one-one again. Our next question comes from the line of Daniel Roeska from Bernstein Research. Please go ahead, your line is open.
Daniel Roeska: Good morning and good afternoon. Thanks for taking my questions. Congratulations on the breakeven on gross profit in Q1. I wonder if we may dive a little bit deeper, because it looks that the vehicle mix [indiscernible] was a little bit better year-on-year because its Q1 ’24 into ’25 seems roughly stable, so I’m wondering what prompted, or what were the key drivers for the reduction in the COGS per vehicle? Could you maybe split out if there was a mix component to that decrease in the COGS per car, and how much of that was battery cost relief? If I kind of backtrack the numbers you published, I get to a number of about $51,000 COGs per car in Q1 ’24 and then $46,000 in now ’25. Just any color what that progression was, and maybe ex-tariff, what your targets for this year would have been? How do you see that COGS per car going forward?
Jean-François Mady: I think to your first point, the improvement in terms of gross margin is mainly coming from, I would say, the product mix when you are comparing Q1 2024 to Q1 2025. We have much more profitable product with PS3 and PS4 now, and that explains why we are moving from a negative gross margin to a positive gross margin and of course is reflected, I would say, in the cost of goods sold of those products. Moving forward and taking into account, I would say, the uncertainties that we are facing due to the geopolitical context and the ongoing discussions about tariffs, it’s too early to say how it’s going to evolve, so let’s wait when those discussions will be concluded and when we are going to have much more visibility, I would say, to come back to this point, but mentioning as well that this is the reason why we paused our guidance for 2025.
Daniel Roeska: Very clear. I’ll press you on one thing on the tariffs, though, to ask what is the share of non-USMCA parts in your South Carolina production, so if we think about the Polestar 3 manufactured in South Carolina, what’s the share of non-USMCA parts in that car?
Michael Lohscheller: The main component is the battery.
Daniel Roeska: Okay. Would it be fair to compare you to other OEMs instead, like there’s a fairly low share, 10% or less in the build materials that are sourced from elsewhere, and then there’s of course the battery. I’m just wondering, with your connection and the platform also connected to Geely, whether there is higher Chinese content in the Polestar 3 made in South Carolina than is in other cars in the U.S.
Michael Lohscheller: I don’t know. I don’t have any reference with the other cars in the U.S. and our competitors.
Daniel Roeska: Okay, thanks.
Operator: Thank you. We’ll now move onto our next question. Our next question comes from the line of Tobias Beith from Redburn Atlantic. Please go ahead, your line is open.
Tobias Beith: Great, good afternoon to both. Hope you’re well. My first question is this: how explicit are contract manufacturing volumes in your multi-year contracts with Volvo and Geely? Does Polestar have any protection against both of these companies reallocating capacity to their own models, which is a more profitable activity for them?
Michael Lohscheller: Maybe I’ll get started. To put this into perspective, we have obviously various agreements in place. We talk a lot about the one in Charleston, but I want to remind everybody this is only 11.3% which we have in the U.S. More important, for example, is the Polestar 4 coming out of China and then also later during the year out of Korea. This probably in terms of size and magnitude is much more important. Then of course in terms of the different contract manufacturing agreements, we wouldn’t disclose it at this stage, but rest assured we have flexible agreements and obviously discuss it, depending on what the different situations in the various markets are.
Tobias Beith: Sure, okay. But is it fair to assume that--I guess that there is a world where Volvo says hey, actually I would prefer to use the capacity in South Carolina to produce more Polestar 3s--or sorry, EX90s or ES90s, and therefore limit Polestar 3s’ volumes in that country?
Michael Lohscheller: Yes, but if we came to a situation where capacity was a bottleneck, then of course we would have a dialogue and would say, look, how do we make sure we prioritize, and we would always find good solutions. But at the moment, we have a situation where I think it’s fair to say we have sufficient capacity, especially in the U.S., so we actually don’t have that discussion which you referred to. But of course, in case we came to that, also to the other Geely factories, we would have exactly that debate, and then we find preferences, of course.
Tobias Beith: Sure, all right. Thank you. How do you as a management team plan to navigate Polestar through the next few years in a world where Polestar’s equity value is unfortunately temporarily impaired due to changes in global trade and mismatched contract manufacturing footprint?
Michael Lohscheller: Yes, sure. Great question Tobias, and I would word it like this. First of all, we look at where do we have our strengths and where is also our business model working extremely well, and while we always talk about tariffs, I think probably [auto interference] doesn’t have any tariffs with regard to China, and we do exceptionally well in the U.K. - I mean, 28.6% of our total volume in the first quarter came from the U.K., right, so a market where the tariffs are not there. We focus a lot on our strengths and the strengths are really in Europe for sure, right, because we see we have a good service network, we have a lot of dealers together with Volvo. Our brand, I think has very good awareness, it’s also being recognized standing for design, sustainability and performance, so for us Europe has absolutely the highest priority and therefore also introduction of new markets like France, also Eastern Europe, and a much better penetration also of markets like Germany. Then of course as I said earlier on, the U.S. is a growth market, but of course we need to consider the increasing costs through tariffs and obviously make sure we find mitigation. Also, it’s fair to say that in some of the other markets, we can’t put all the resources because Europe is a key focus, and I think focusing on where we are good at and also see immediate impacts, therefore I am pleased to see that the volume was increasing so much that the margin was improving, and that also the costs are coming down, and I think that’s the way forward. I think we are off to a good start.
Tobias Beith: All right, great. Then just hopefully a quick final last one from me, if you feel comfortable, may you share the amount of income that was generated from the sale of regulatory credits in the first quarter?
Jean-François Mady: Maybe Michael I will take this one. We are not going to communicate, I will say, on the CO2 credit sale in the first quarter. What I just would like to say is we have an ongoing portfolio of CO2 credit sales that we are still confident that we will reach the three-digit millions U.S. dollar target in 2025.
Tobias Beith: Sure, all right. Thank you.
Operator: Thank you. We’ll now move onto our next question. Our next question comes from the line of Andres Sheppard from Cantor Fitzgerald. Please go ahead, your line is open.
Andres Sheppard: Hi everyone, good morning, good afternoon, and thank you for taking our questions. I just wanted to maybe follow up again on manufacturing in South Carolina. I think I recall in the past the production capacity here is about 150,000. I believe Polestar’s production mix will be roughly about one-third, and so are we to understand that that is meant to fulfill the demand in the U.S. and that the priority will now be shifting more towards Europe and other markets, or--you know, is that how potentially you expect to mitigate the tariff impact, by maybe shifting strategies to European and other markets rather than the U.S. since the production there is roughly only about 50,000? Just any color there would be helpful, thank you.
Michael Lohscheller: Yes, thanks for the question, Andres. Happy to give some more color. Again, I think Europe, as I said, we do well, we make good progress, and in Q1 75% of our volume was in Europe, which is good, right? At the same time, U.S. is a growth market, we also had a lot of momentum there. We had some really good campaigns out there, and the Polestar 3 has just been really in the market. I think dealers see a lot of momentum, and if you are up in the U.S. by 74%, you have momentum - I think that’s fair to say. Obviously still on a small scale, but we have the facilities, we have enough capacity, then by the end of the this year we will--or in the second half of the year, we bring the Polestar 4, a good addition for the portfolio in the U.S., so we are convinced that especially also with [indiscernible] and other things, U.S. consumers are open for zero emission mobility and we will continue to do that. But obviously, we need to be mindful, steering through the different frameworks which are changing quite a bit, and if I want to remind all of us, the tariffs from China, which has been obviously in a different set-up but were paused now for 90 days, before our understanding was it was 145% tariffs, now for 90 days at 30%, those are big changes, and I think we need to be mindful going through this. But there is no change of strategy - Europe is our home market, this is where we do well, and the U.S. is an important growth market for us now and in the future.
Andres Sheppard: Got it, okay. That’s super helpful. I appreciate that. Maybe just as a quick follow-up, can you just walk us through your liquidity position again, so with $732 million, maybe can you remind us what kind of cash burn you expect, and how are you thinking about additional capital needs? Thank you.
Jean-François Mady: During the last quarter, we had, I mentioned, an average cash burn of US $100 million to $120 million [indiscernible] in 2024. This level of cash burn is not sustainable. We need to [indiscernible] decrease this level. We have a plan, we have a plan starting with, I will say growing our top line, improving our profitability, reducing cost and expenses, and improving as well our working cap and starting to look for efficiencies in terms of capex spending. The level of the debt so far is at US $4.8 billion. As you know, we have a debt covenant of US $5.5 billion, so it is not a situation which is satisfying, and of course with the decrease of the cash burn during 2025, we will have to look for alternative sources of financing, of which new equity, so we are working actively on this new equity story in coordination with Geely. We’ve had discussions with some potential investors, but it’s too early to give you more details, so more to come.
Andres Sheppard: Got it, thank you so much. I’ll pass it on.
Operator: Thank you. We’ll now move onto our next question. Our next question comes from the line of Dan Levy from Barclays. Please go ahead, your line is open.
Dan Levy: Hi, thank you, and good afternoon to you. I wanted to first start with a question on model mix. If you could just run us through again what the mix of Polestar 3 and 4 is, and how much more you can push the mix towards 3 and 4 to at least improve the profitability and de-emphasize 2?
Michael Lohscheller: Thanks Dan for your question. I’ll take this up and give you some color on the different product lines. Obviously Polestar 2, basically our starting model really and also the foundation of the brand, we saw 31% of our total volume in Q1 was Polestar 2. Polestar 3 was 19% or 20% rounded, and Polestar 4 was 49%, so by far the biggest portion was Polestar 4. That is an important achievement because as we all know in the industry, SUVs and larger SUVs in general in the industry have better margins than, for example, sedans, and that’s good. That is also one of the reasons, as Jean-François highlighted, that our margin has improved. Especially when you launch cars, it’s important that you get this momentum, and I think it’s fair to say that we have a lot of momentum for Polestar 4, but also Polestar 3, and that’s encouraging to see because that is the way to go. I think obviously now we try to exploit this even better with more retailers, but I think product mix is absolutely going in the right direction and we’re happy to see this development.
Dan Levy: Great, thank you. I know it’s a ways out, and I think this is something that was addressed on the last call, but the U.S. ban on China connected cars starting model year 2027, I know there’s a ways to go, but have there been any developments on your end on ways to work around this?
Michael Lohscheller: Yes, absolutely, and as I said earlier on, the U.S. is an important growth market for us. That’s why we have many dialogues obviously to find good solutions for the model year ’27, because there’s still a bit of time but obviously preparations are happening now. This is exactly what we are doing to make sure that we are compliant in the U.S. and continue our growth story, so we are very focused on making sure we comply with this new legislation.
Dan Levy: Okay, thank you.
Operator: Thank you. Once again, to ask a question, you will need to press star-one-one on your telephone and wait for your name to be announced. To withdraw your question, please press star-one-one again. There appear to be no further questions at this time, so I’ll hand the call back to Michael for closing remarks.
Michael Lohscheller: Yes, thank you Operator, and thanks everybody for joining this Q1 call. Thanks for staying with us, and hopefully we could bring across where do we see the improvements. For us a good quarter, and looking forward to the continued dialogue with all of you. I wish you a very good day. Talk to you soon, bye bye.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.